Operator: Good day, everyone, and welcome to the INTL FCStone First Quarter Fiscal Year 2012 Earnings Conference. As a reminder, today's presentation is being recorded. At this time, I would like to turn the conference over to Mr. Bill Dunaway. Please go ahead, sir. 
William Dunaway: Good morning. My name is Bill Dunaway, CFO of INTL FCStone Inc. Welcome to our earnings conference call for the first quarter of fiscal 2012 ended December 31, 2011. 
 After the market closed yesterday, we issued a press release reporting our results for the fiscal first quarter. The press release is available on our website at www.intlfcstone.com as well as a slide presentation, which we will refer to on this call in our discussions of the quarterly results. This slide presentation is available by clicking on the Investor Relations link on the website and then going in into the Events and Presentations page. You will need to sign on to the live webcast in order to view the presentation. Both the presentation and an archive of the webcast will be available on our website after the call's conclusion. 
 Before getting underway, I'd like to cover a couple of housekeeping items. On these conference calls and in management's discussion portion of our SEC filings, we present financial information on a non-GAAP basis in order to take into account mark-to-market adjustments in our commodities business. As discussed on previous conference calls and in our filings, the requirements of accounting principles generally accepted in the U.S., which I'll refer to as GAAP, to carry derivatives at fair market value but physical commodities inventories at the lower of cost or market value, may have a significant temporary impact on our reported earnings. Under GAAP, gains and losses on commodity inventory and derivatives, which the company intends to be offsetting, are often recognized in different periods. 
 Additionally, in certain circumstances, GAAP does not require us to reflect changes in estimated values of forward commitments to purchase and sell commodities. For this reason, we believe that the GAAP numbers do not reflect the commercial results of our commodities business, and therefore, the company as a whole. Instead, we assess all of our businesses as do our banks on a fully mark-to-market basis in our daily and monthly internal financial reporting. We also calculate commodities trader bonuses on the basis of fully mark-to-market results, not GAAP results. Readers of our Form 10-Q filing should look at Item 2 in our selected summary of financial information for a summary of both GAAP and non-GAAP information. This section also gives the reconciliation between GAAP and non-GAAP information required by the SEC. Please note that whenever we talk about an adjusted number on this call, we are talking about a non-GAAP number. 
 Secondly, we're required to advise you and all participants should note that the following discussions should be taken in conjunction with the most recent financial statements and notes thereto, as well as the Form 10-Q filed with the SEC. This discussion may contain forward-looking statements within the meanings of Section 27A of the Securities Act of 1934 -- 1933 and Section 21E of the Securities Exchange Act of 1934. These forward-looking statements involve known and unknown risks and uncertainties, which are detailed on our filings with the SEC. Although the company believes that its forward-looking statements are based upon reasonable assumptions regarding its business and future market conditions, there can be no assurances that the company's actual results will not differ materially from any results expressed or implied by the company's forward-looking statements. The company undertakes no obligation to publicly update or revise any forward-looking statements whether as a result of new information, future events or otherwise. Readers are cautioned that any forward-looking statements are not guarantees of future performance. 
 With that, I'll now turn the call over to Sean O'Connor, the company's CEO. 
Sean O'Connor: Thanks, Bill, and good morning, everyone. In Q1 2012, we produced a GAAP loss from continuing operations of $500,000 and a mark-to-market adjusted loss of $2.5 million -- $2.4 million, sorry. Comparisons to the prior year, which was our record quarter, can be summarized as follows: A $16 million decline in revenues due to an extremely challenging market environment in our commodities area. Our other segments all showed some growth in revenues. This aggregate decline was despite a $3.5 million incremental revenue from the MF Global bulk account transfer that we participated in, so the effective decline in revenues was $20 million on the existing commodities business. In addition, an $11 million increase in expenses over the same period -- in the prior year arising from our decision to simultaneously continue with existing incremental expansion plans and also to take advantage of exceptional opportunities during this market dislocation to acquire businesses. Additionally, there were noncash accounting items of approximately $2.3 million. 
 While we are not pleased with reporting a quarterly loss, we are focused on long-term performance. We believe that we executed our strategy reasonably well given the exceptional events we encountered during the quarter and have further solidified our position for the future. Bill will take us through the earnings in more detail in a few minutes. 
 As in the past, we will be using our financial dashboard, which highlights key components of our results. The dashboard is color coded to indicate at how we have performed against our own internal long-term objectives. And understandably, there's a lot of red this quarter. 
 The $20 million revenue decline year-over-year in our commodities business was due to a number of external factors: Firstly, the short-term fallout from the MF Global collapse, which resulted in reduced trading volumes as the market loss of a major participant absorbed losses and evaluated the security of segregated funds. Market volumes and open interest were down 30% in some commodities and directly impacted our results. Secondly, price levels in many markets, particularly in our core agricultural market, were not conducive to customer activity. Many customers remained on the sidelines as prices drifted without major direction. This was true in both the exchange-traded and over-the-quarter instruments. This was further exacerbated by lower volatility, which negatively affected our margin on OTC transactions. And then finally, we had some direct losses incurred of about $500,000 relating to commissions on customers introduced to MF Global. 
 Comparing fixed cost to a year ago shows the $11 million increase due both to continuing incremental growth initiatives and exceptional costs arising from opportunistic expansion, including increasing stock cost of $7 million relating to general expansion initiatives both organically and through acquisition. Most notably of these was the acquisition of Ambrian and MF Global's LME team, and in addition, the establishment of a corporate finance activity with Provident. These 3 items accounted for $4.6 million of this aggregate increase. 
 In addition, there was related overhead, mainly rent and IT, of $2 million to support this growth. This was partially offset by lower interest and reduced bad debts. 
 Although continued expansion in the current market environment harmed our results for the quarter, we believe this is the right course for the long-term with a significant payoff down the road. Highlights of the -- these efforts are as follows: In a very short time frame, we have assembled all the pieces to become a significant player on the London Metal Exchange. Although the combined Ambrian and MF's LME team's generated a net loss of roughly $2 million for the quarter, around 1/2 of this was due to the nonrecurring startup costs and restructuring costs. However, we are pleased with the trajectory of this business, quickly having received FSA approval and LME ring dealing status. We anticipate becoming at least breakeven in Q2 with accelerating profitability thereafter. 
 As we reported in the last call, during Q1, we are one of the FCMs chosen by the CME to take on bulk transfers of customers from MF Global. We're able to open nearly 2,300 accounts on the exchange-traded clearing side. These new accounts resulted in a breakeven result for us during the quarter due to one-off costs in infrastructure we had to assume as part of this transfer. We have already taken steps to reduce the fixed costs associated with these accounts and will soon be reassessing our need to reprice parts of the clearing business to produce an acceptable return. 
 And then thirdly, the corporate financing activities established through the Provident acquisition have ramped up over the past year. The business has long lead times, lumpy revenues and is experiencing difficult market conditions. Although this activity produced a $1.6 million net loss for the quarter, we believe it is a valuable part of our customer offering, and we remain hopeful it will produce a positive contribution for the fiscal year. 
 A few smaller items concluded during the quarter, just to touch on quickly. In early January, we agreed in principle to acquire TRX, a London-based niche-clearing firm for commercial coffee and cocoa, which are key verticals for us. This is a small tuck-in acquisition that will give us clearing capabilities at NYSE Liffe and ICE U.K. as well as a customer base. This business is anticipated to be nicely profitable from day one with a very modest purchase consideration based on cash book value. 
 We also acquired the Coffee Network from the Hencorp Group. Coffee Network provides up-to-the-minute news and in-depth analysis to over 300 subscribers around the world for coffee. This will form the backbone of a more general commodities research and news platform wrapping together and enhancing our existing offerings, including Globecot News and eDairy. 
 And then thirdly, in December, regulatory authorities approved the formation in China of INTL FCStone's wholly owned foreign entity. This gives the company the ability to transact both physical and financial transactions domestically in China and local currency, utilizing local facilities and financial institutions. 
 I'll now hand you over to Bill Dunaway for a more detailed discussion of the financial results. Bill? 
William Dunaway: Thank you, Sean. Let me remind everyone, as I said at the outset of the call, that the fully mark-to-market numbers are not in accordance with GAAP. The differences between the GAAP and fully mark-to-market numbers arise in our Commodity & Risk Management Services segment. In all of our other business segments, GAAP results and mark-to-market results are the same. 
 I would like to start my discussion with a review of the quarterly results and refer to the third page of the slide presentation entitled, Quarterly Financial Dashboard. This slide lays out the quarterly operating results as well as the related balance sheet information in comparison to the prior year period as well as, in some cases, the internal target for which management has for our operating results. 
 Adjusted operating revenues were $93.1 million for the current period, down 14% from the record $108.8 million in the first quarter of 2010. Adjusted operating revenues were $103.5 million in the fourth quarter of 2011. Adjusted operating revenues in our core Commodity & Risk Management Services segment declined 29% as compared to the prior year period while every other segment of the company experienced growth in adjusted operating revenues in the first quarter of fiscal 2011. 
 Operating revenues for the first quarter include an unrealized mark-to-market loss of $2 million on interest rate swaps entered into to manage a portion of our aggregate interest rate position as discussed on previous earnings calls. In addition, we recorded a realized gain of $1 million on these interest rate swaps for the current period, which represents the true cash flows of the swaps, so the net P&L reflected these swaps on the current quarter was a $1 million pretax loss. For the first quarter of fiscal 2011, the unrealized mark-to-market effect of these swaps was a $1.1 million loss while the realized portion was a $700,000 gain with a net effect of a $400,000 net pretax loss. As of December 31, 2011, we had $965 million in notional LIBOR-based interest rate swaps outstanding. The objective of these interest rate swaps is to invest the bulk of our customer-segregated funds in high-quality, short-term interest rate -- short-term investments and swap the resulting variable interest earnings into a more stable medium-term interest stream at the holding company level. 
 Adjusted operating revenues in our core Commodity & Risk Management Services segment decreased 29% from $66.2 million in the prior-year period to $46.8 million in the first quarter of 2012. Adjusted operating revenues were $58.9 million in the fourth quarter of 2011. 
 Exchange-traded volumes were 899,000 contracts, which was a 19% decrease over the near record volume of 1.1 million contracts in the prior year period. Exchange-traded volumes declined in the current period as a result of low underlying commodity volatility as well as relatively flat prices in the agricultural market. In addition, overall industry volumes were constrained by global economic conditions as well as, in particular, the widespread effect of the MF Global bankruptcy, including the confusion over the transfer of customer accounts and frozen margin deposits at MF Global. 
 While we experienced a 27% growth in OTC contract volumes as compared to the prior year, lower underlying volatility and flat commodity prices in the current period resulted in significantly lower revenues from structured OTC products, particularly in the Brazil market. This decline in structured OTC product revenue plus a proportionally higher percentage of lower-margin exchange look-alike OTC transaction resulted in an $11.7 million decrease in overall OTC revenue. 
 Average investable client balances decreased 28% in this segment over the prior year to $858 million, primarily driven by the lower exchange-traded volumes. 
 Adjusted operating revenues in our precious metals product line decreased 22% to $4.2 million in the first quarter as compared to the prior year period, primarily as a result of a decline in the number of ounces traded as well as tightening of spreads. Base metals adjusted operating revenues decreased from $4.6 million in the first quarter of 2010 to $2.2 million in the current period as a result of tightening spreads, which more than offset the incremental revenues added from the LME metals team, which was acquired during the quarter. 
 In our foreign exchange segment, operating revenues in the first quarter totaled $17.9 million, representing a 23% increase over the prior year period of $14.5 million. The volume of trade in the company's global payments business increased as the company experienced continued growth in the number of financial institutions utilizing the company's treasury services. In the current quarter, our customer speculative and hedging foreign exchange product lines grew by 60% and 83%, respectively, while revenues in our proprietary foreign exchange arbitrage desk, which arbitrages the cash versus exchange-traded market, declined 7% to $3.9 million. 
 Operating revenues in the securities segment increased by 25% from $7.9 million in the first quarter of 2011 to $9.9 million in the current period. Within this segment, operating revenues in our equity market-making business increased 38% to $7.7 million as compared to the prior year period, driven by a 39% increase in volumes traded from increased levels of activities in the global equity market. 
 Revenues in our debt capital markets business decreased $100,000 to $2.2 million in the first quarter of 2012 as compared to the prior year period, which was a first period following the acquisition of the Provident Group. 
 In the clearing and execution services segment, operating revenues were $17.7 million for the first quarter of 2012 as compared to $17.1 million in the prior year period. This increase in operating revenues was driven by a 17% increase in exchange-traded volumes over the prior year period to $7.9 million in contracts in the current quarter. The increase in exchange-traded volumes was primarily a result of accounts transferred in from MF Global including one large introducing broker relationship. This IB generated $3.4 million in commissions in clearing fee revenue for the quarter, but costs associated with transferring in this business plus short-term costs associated with servicing this business completely offset this increase in revenues. Interest income, which is a key component of this segment, continued to be constrained by the effect of historically low interest rates, decreasing 13% to $700,000 for the first quarter of 2011, primarily driven by a 35% decline in average client investable balances to $550 million. 
 The other segment, which contains both our asset management and commodity origination and financing product lines, increased 11% to $3.1 million, driven primarily by an increase in committed credit facilities available to the company to finance customer inventories as well as the expansion of our physical origination business into the feed ingredient industry. Assets under management were $369 million for the first quarter of 2012 as compared to $356 million in the prior year period. 
 Moving onto the expense side of things. Noninterest expenses were $94.9 million for the first quarter of 2012, an increase of 9% over the $87 million in the first quarter of last year, while they were $92.9 million in the fourth quarter of last year. 
 Internally, the company targets to keep variable expenses as a percentage of total expenses in excess of 50%. During the current period, the majority of noninterest expenses were variable with 52% of total noninterest expenses being variable in nature as compared to 58% in the prior year period. 
 Non-variable expenses include fixed expenses as well as bad debts and impairments. During the first quarter of 2012, we recorded virtually no bad debt expense while the prior year period included $2.4 million in expense, primarily related to a customer to whom we consigned gold to. 
 Fixed expenses were $45.6 million for the first quarter of 2012, which represents an $11.2 million increase over the first quarter of last year and a $7.3 million increase over the fourth quarter of 2011. Excluding the effect of restricted stock expense recapture in the fourth quarter of 2011, fixed expenses increased $4.1 million for the fourth quarter of 2011 to the current period. 
 As Sean mentioned earlier, we recently implemented several initiatives, which have marginally added to operating revenues for the first quarter of 2012. However, they have not yet resulted in increased profitability, most notable of which is the acquisition of Ambrian Commodities Limited, combined with the subsequent acquisition of the LME metals team. In addition to adding the capabilities of the LME metals team, this initiative included the build-out of our CRM, CES, foreign exchange prime brokerage and OTC derivative trading capabilities in London. This resulted in a $3.3 million increase in fixed costs as compared to the first quarter of last year. In addition, the company added $1.3 million in fixed compensation expense as we expanded our investment banking in soft commodities product lines as well as our global operations staff. We have expanded our internal information technology development capabilities, which resulted in an increase in fixed expense of $900,000 for the first quarter of 2012 as compared to the prior year period. This expansion was primarily focused upon the expansion of our OTC trading capabilities, resulting in a more rapid deployment of OTC product offerings. Occupancy and equipment rental costs increased $1 million to $2.8 million in the fourth quarter -- first quarter of 2012 as compared to the prior year, while they were flat with the fourth quarter of 2011. This increase was primarily driven by an expansion of our offices in London, New York and Chicago. In addition, in the first quarter of 2012, the company recorded $1.3 million in additional expense related to contingent acquisition liability as compared to $3 million and $900,000 in the first and fourth quarters of 2011, respectively. 
 The company targets to keep total compensation expense as a percentage of operating revenues at less than 40%. However, with the growth initiatives mentioned above, total compensation-related expenses represented 49.2% of total adjusted operating revenues in the current period, above our internal target. 
 The average number of employees increased to 963 for the first quarter of 2012 as compared to 751 in the prior year period. The adjusted net loss from continuing operations for the first quarter was $2.4 million as compared to the record adjusted net income of $11.4 million in the prior year quarter and $4.7 million in the fourth quarter of 2011. 
 Looking at the trailing 12 months, adjusted net income and adjusted EBITDA decreased 23% and 13%, respectively, over the prior year period. The company looks to achieve a minimum return on equity of 15% or greater on its adjusted stockholders equity. The return on equity for the first quarter was a negative 3.1%. 
 Total assets on the balance sheet increased $382 million to $2.4 billion while adjusted stockholders equity closed the period at $300.5 million, an 11% increase over the prior year. Another key metric the company focused on is keeping a one-to-one ratio between revenue-generating employees and administrative or operating employees. Along these lines, the company targets to have at least $500,000 in annualized revenues across the entire employee base. For the current period, this metric decreased 33% with both the growth initiatives and the drop in adjusted operating revenues, driving the decline to $387,000 per employee. 
 Finally, in closing out the review of the quarterly results, the trailing 12-month results have led to an increase of 5% in the book value per share, closing out the quarter at $15.89 per share. 
 With that, I would like to turn it back to Sean to wrap up. 
Sean O'Connor: Thanks, Bill. We are certainly not happy with the Q1 performance. However, we manage our business for long-term results, not for the next quarter, and we believe that we have taken -- been able to take some transformational steps at very attractive costs. We believe that the risks associated with these steps have been justified and will provide a significant payoff down the road in terms of growth and profitability. We remain convinced that we have a great business model and strategy that has proven its mettle over the last 2 difficult years. The expansion and related costs we have taken on need to be managed carefully, but we believe will be proved to be justified in the medium term. We will continue to address our dependence on general market conditions by aggressively adding customers, diversifying revenues and remaining vigilant on costs. The current difficult market conditions are unlikely to change quickly, but there are a number of short-term objectives management will be focusing on to improve results. 
 With that, I would like to turn it back to the operator to open for question-and-answer session. Operator, do we have any questions? 
Operator: [Operator Instructions] And we'll go first to Greame Rein with Bares Capital. 
Greame Rein: Could you talk a little bit about -- could you talk a little bit more about the metals team that you brought on? Have they been successful in sort of bringing back some of those relationships they had? And can you just talk about how quickly or how slowly that process is going? 
Sean O'Connor: Sure. So firstly, just to make clear to everyone, we did not buy the LME that -- we're talking about the MF LME business. We did not buy that as a going-concern business and we paid a very nominal amount. What we did do is we acquired the team, which included the employment contracts and the customer documentation, which meant that we kind of could short-track our ability to open up customers. And keeping that team together, we thought, was very valuable. So in essence, the team has to now go out and reestablish relationships with the customers and us as a corporate entity. So that is the rebuilding process. There are various parts to their business. One of the parts is the ring dealing part, which is a very easy business because it all sort of gives up we sitting on the ring, we kind of -- in a kind of a way and into dealer-broker there. That part of the business has come back phenomenally well, so required very little efforts. It's a well-known team, highly respected, probably one of the best ring dealing teams out there. And they're pretty much back on track to where they were on a pre the MF bankruptcy. So that part of the business, which is significant, is going very well. And then we deal with, for example, funds where they may deal on a give-up basis. So they are less concerned about sort of who we are, our credit standing because they have their accounts elsewhere and they're just looking for us to provide an execution service. That business required a lot of agreements to be resigned, more than we thought. We thought a lot of those agreements had been assigned over to us. We found out that you can't assign those agreements, so we had to go back to the drawing board and restart that whole process. But that business is now coming on pretty steadily and at a good clip, so that's good. And then, on the corporate business and there's some 800 commercial corporate clients, that's probably a longer-term proposition because people are actually leaving money with us, they need to know who we are. These are commercial companies. They need to understand, be comfortable. And the team's going out and so far we haven't really had any major problem. It's just hard to get around to go see 800 customers. It just takes a long time. So all in all, I think, probably more or less on track where we thought it would be. We've also kind of can't bring this business on immediately because we've got to rebuild systems and capabilities internally so for us it kind of suits us that we phased it in a little bit. So I would say it's pretty on track. I think it's probably going to be a 6 to 9 months rebuild before we back to the sort of significant levels of revenue -- or get a significant portion of the revenues that this team had previously, so I would say probably through the end of this fiscal year is when we're going to see a ramp-up. I would hope that it's accretive basically from this Q2. And bear in mind, we had Ambrian as well, which was a significant cost for us. That gave us the LME license. It gave us some bare bones of capability, some customers and really allowed us to do the MF deal. And we now have to mesh those 2 businesses together. There's been a -- we've had to sort of realign people and we did all that in Q1. So we're very optimistic on that business, and I expect just a slow kind of buildup. And hopefully by sort of our fiscal year end we've got that business back in-house. 
Greame Rein: Yes, okay. That's helpful. And then -- yes, that's great. The Provident Group, I know it's a capability your customers would like to have. It seems like it's been slow going in terms of getting -- contributing to revenue. Has that been frustrating or have you thought about doing anything differently with that business? Or is it just a matter of waiting? 
Sean O'Connor: It's extremely frustrating. You should speak to the Provident guys, they'll tell you. We've got so many great transactions that are in the pipeline or even at the point where we signed documents and so on. But in the current market conditions, everyone seems to be inclined to just kind of delay and see what happens rather than actually kind of close deals. So we're pretty confident given the number of deals in the pipeline that we think are sort of at-the-door rather than speculative that we would have thought these -- a lot of these deals would have come in, in Q1. It's just a tough environment where people just don't want to finally commit even though they've got -- gone through due diligence and agreed transactions and so on. So it's a lumpy business. You put in work for maybe a year sometimes on a deal and then you get the big payoff. I think just looking at it, I can't predict when exactly, but I'm pretty confident that, that business will generate us enough revenue to be nicely profitable and positive for the fiscal year. I can't tell you which quarter that'll stop and it may all happen in one quarter, frankly. So -- but at the moment, I think we're on track. We've obviously got to make sure we're keeping all our people productive and that we focused. And more and more, I think that team is focusing on where we have customer relationships, so they're really synching in nicely with us sort of platform and customer base, and I think they're probably going to find it a lot easier going when they do that. So, yes. I mean it's frustrating, though. 
Greame Rein: Okay, great. And then the last question. How are the conditions in the current quarter? I mean have you seen anything changed, or is it still everyone sort of sitting on their hands and volatility is down? Especially in terms of the soft commodities, the legacy FCStone business? 
Sean O'Connor: Yes, honestly, it's tough because we watch sort of our numbers day-by-day. So if we have a good day and you ask me that question I'm much more optimistic, so -- if I just step back a little bit, I would say January was probably sort of more of the same, frankly, maybe mildly better. And certainly, February seems to be slowly sort of picking up speed. So too early to call yet. But it's a tough environment and people are still pretty nervous about what happened with MF. And I think there's less volatility in the market and less inducement for people to do things. On the ag side of the business, we found that a lot of people have just sat on their harvest. They haven't delivered the harvest in and that's a big part of our business. And this happened to us 2 years ago, just straight after the merger with FCStone. We had sort of revenues that should have come in Q1 that didn't. And some of those revenues will be pushed out into Q2 and 3. So some of it's a little bit of a timing issue, some of its general market conditions, but none of those factors are in our favor right now. 
Operator: [Operator Instructions] And we'll go next to Bill Jones with Singular Research. 
William Jones: Some of my questions have been answered, but I thought I would ask if you can give us maybe more color on potential longer-term gains in terms of market share or business volume or customers from the whole MF Global fall, not only the metal's team but just in total? 
Sean O'Connor: Yes, well, let me go first and then Bill or Pete or any of the management team on the call, if you want to jump in. But I would say despite the fact that we've obviously seen volumes decline, I think we've actually done really well in terms of getting more customers for a couple of reasons: One, we participated in the bulk transfer, which gave us nearly 3,000 customers. Those are pretty -- the margins on that business isn't great. It didn't -- it actually was a minor loss for us in Q1 because we had to take over some expenses and we've restructured that. But we think that's going to be a nice addition for us. And in addition to that, just everywhere through our network, our people are now being called by customers who used to be at MF Global. And there's not a lot of places where people to go right now. You got Newedge, which is kind of a big player in the futures market. I mean they're owned by 2 French banks and it's no secret they're for sale. They're trying to reduce their exposure and get their capital back, so that's not a good alternative. The big banks probably aren't really interested in the kind of midsized customers we have and probably have their own issues to deal with. And then you got a couple smaller FCMs that are sort of privately owned and out there. So we've become a pretty attractive alternative to people who were elsewhere. So it was a very astounding to us. We've always -- in our marketing literature, we've always said we have 10,000 customers. And when I was doing the annual report this year, I actually went to our new accounts people and said, could you just troll through and see how many customers we have. And it's actually now 20,000 customers. And a lot of that has happened in the last 6 months through all our growth initiatives and acquisition initiative, so our embedded base of customers, I have no doubt, is much, much greater than it's ever been. But those customers aren't doing nearly as much as they did before, so it's not very helpful to us at this point, but probably, Pete, do you agree with those comments? 
Paul Anderson: Yes. This is Pete Anderson. If you look at the last quarter, to a large extent we increased our customer base by somewhere north of 10%, which is really significant and the bulk of those are really commercial customers. We also added probably, at least, in my mind, the premier metals team from our risk management consulting perspective in the world. And that's close to 35 plus consultants or brokers, that capacity will reflect as we go forward as well. If you take TRX and also Ambrian, really, we'd probably increased our customer -- our broker network or consultant network by 20%. And so as liquidity comes back into the markets and we see some volatility and we get those new customers ramped up as we move forward, my expectation is that we'll see that reflect in revenues and profitability. 
William Jones: And does it change your thinking at all on revenues per employee or any other financial targets that you generally look for? 
Sean O'Connor: Sorry, Scott, I think you wanted to add something to the previous question. 
Scott Branch: Yes, I was just going to add one last comment on growth in customers. I mean there is a real demand there and as Sean and Pete have both said across almost all of our customer base not just in the clearing sector, we've seen pretty good demand. But we've also been selective about it. I mean we had opportunities to take on big-segments customers as part of the transfer process that we chose not to take on. And one of the things we want to make sure that we do is kind of stick with our principles on the kinds of customers that we want, both from a risk and profitability perspective. But the demand is there. 
Sean O'Connor: Yes. So both to answer your question, I guess your argument was if the consultants are going up and the customers are going, up how do the metrics look on revenue, I guess, per head, per salesperson and per customers. Is that your question? 
William Jones: Yes. I'm just trying to get a feel for that, how that changes or maybe... 
Sean O'Connor: It's bad and bad. More -- actually more customers and less revenues so it's sort of easy match. Without trying to state the obvious, I guess the real issue is... 
William Jones: Well, I'm thinking more longer term... 
Sean O'Connor: Yes. I mean we've got a lot of people we brought on. I mean if you look, for example, on the LME team. We have actually accepted into our system 800 new customers. I mean those customers are here dealing with us. We think they will deal with us. We have 15 new sales people and we don't have a lot of revenue coming out of that business. So that really skews the metrics. And I think that same math is applied to Provident, is applied to the Ambrian people we've hired, is applied elsewhere to the organization. So in the short term, given the pace of growth and the opportunity we've decided to jump on, we've got a lot of our management metrics that we really work hard on are going in the wrong direction. Long term, I think it's easily conceivable that we would get back to all of the objectives we hold. I mean, clearly, we need some help from the market. But I would say by fiscal year end, we should be pretty close to hitting all our marks given normal market conditions in all of this. And if you do that math, that's a significantly larger business than the business we have now in terms of revenues and bottom line. The LME business on its own, we sort of know what that business was capable of previously, could be a material add for us. And a lot of these other acquisitions, maybe not quite as big, are all going to be a net add. So if we can get decent market conditions on our core business and we can get these new businesses sort of up to speed, we will be significantly further ahead than we were last year. 
William Dunaway: I mean one thing I would add on that is for those of us -- for those of you familiar with the company, Q1 2011 was a knockout year for us. We said that at the time. And that was an exceptionally positive year that we are comparing against. So if you look of at the revenue per head and the big drop down, it's not only that we've got more heads and to distribute that revenue over in some of those aren't producing, but we're comparing against a very good quarter. 
Sean O'Connor: Well, it's pretty frustrating that we've actually got the worst quarter we've ever had compared against the best quarter that we've ever had. But that's just kind of how it shook up. So anyway, Bill, does that answer your question on sort of how things... 
William Jones: Yes, yes. 
Sean O'Connor: I mean the problem really is in a lot of these things. Because we try and buy businesses cost effectively and without paying a lot of premium and without a lot of risks, sometimes the trade-off for that is we acquire a team instead of a going concern and so on. And the problem with that is you get the cost they want. And the revenues take 6, 12 months to build up and you've got to move with that in the meanwhile. And up until now we got good market conditions so while we've been adding things continuously, the market conditions have been good enough that it wasn't really apparent that we had a lot of businesses that were not performing. Now the markets turned around, this kind of looks pretty stuck right now because you can see the increase in costs. A lot of these new businesses are not yet performing, and we think they will. So patience, I guess. 
William Jones: Great. And one other detailed question on the quarter. I think you mentioned $2.3 million of items, accounting items. And I'm sorry if Bill touched on this, but I don't know if you can you give a little more color that? 
William Dunaway: Yes, Bill. That was the -- the $1.3 million of revaluation of the contingent earn-out payments that we have based on the acquisitions we've done over the past 2 years. And then another -- the other $1 million I'm referencing is kind of the mark-to-market -- or the net effect of the interest rate swaps. That was about $1 million dollars. 
Operator: And our next question comes from a private investor, Bartley [ph] Cohen [ph]. 
Unknown Attendee: I had 2 questions, just general questions. I've heard you say that we're in the early earnings. So I was just curious about your general opinion about how important it is to own like fixed assets at critical points of the supply chain in order to get a customer product? 
Sean O'Connor: Well, that's kind of an interesting question because we are in both the financial side of the commodity -- and just dealing with the commodity segment and the financial side of that business where we provide people with a service to hedge and protect their risks. And we're also in the physical side of the business. So we also act as a merchant and trade physical metals. So in that instance, we're a lot like, say, Glencore. I mean, small tiny fraction of what Glencore is. But we work in a similar way and the Glencore model and if you look at Noble and companies like that, their model has been to own key access points in the supply chain and by doing that, you can control the physical movement of goods and that gives you a competitive advantage to secure offtake agreements. So a lot of times Glencore would go into tough places and give expansion capital to mines and for that, they would get long-term offtake agreements or they would buy a pipeline or a port facility and through that leveraging to offtake agreements, and that's a fantastic business model. We just don't think that's a business model that can work for us because it requires massive amounts of capital. And we just don't have the capital where we're able to do that. Our advantage is, though, we have customers and what we're trying to do is work with our customers where we can provide them with not only the risk management and hedging their risks, but also trying to more effectively market their product or acquire their inputs for them. So we sort of do it in a slightly differently way, mainly because we just don't have a competitive advantage with capital in taking on the big guys. I don't know if that answers your question. 
Unknown Attendee: That does, and that was like what I was asking. The second one is sort of related -- go ahead, sorry. 
Scott Branch: It's Scott. I would also say that in our business, the equivalent of -- they're not really fixed assets but controlling kind of the supply chain, if you will, is access to markets and clearing capabilities. And that's something that we think about all the time, is do we have the right access to markets and the right clearing capabilities? And we don't necessarily have all of the access to markets and all of the clearing capabilities that we would like. I mean TRX is an example of that where it incrementally pushes out our access to markets and clearing capabilities. And I think we will opportunistically look for ways to expand that footprint and have more control over that supply chain in the product that we produce by potentially expanding our clearing capabilities and access to markets. 
Sean O'Connor: Yes, I would just like to say on the financial side, we also look at sort of like -- a bit like a supply chain. And it's very hard to go to a customer when you're not the ultimate clearer and you're not holding his accounts and his cash, yourself because you're just then kind of an additional link in the chain. And we are members, we're clearing members of all these exchanges. And one of the reasons we went for the LME and that's kind of a big cost for us between Ambrian and MF Global was we saw that as a very attractive market where we just went to clearer. And once you're a clearer, you hold the customers' accounts, you talk to them every day, you send them a statement every day, a lot of their cash sits with you. You really have a relationship, almost like a bank with that customer. And so on the financial side, we see that as kind of controlling access to the customer and a key bench point that we want to control. Does that answer your question? 
Unknown Attendee: Yes, the second one was -- it's sort of -- it's related. You guys, is there a model that you guys look out that you say like these guys do it well? Because I know you always say like we're in the early innings, so was there like a company or that you guys are... 
Sean O'Connor: This is an interesting question because we get this coming at us from everyone, I mean whether it be an analysts or our banks, investors. Everyone sort of says, well, how can I benchmark you and who's the comp? How can I comp you out against someone? And honestly, we don't really think that there's anyone who does exactly what we do. And to certain extent, we're fairly disinterested in trying to copy someone else's model. What we've really done is we focused on our customer. We've gone to midsized commercial customers in the main and we've gone trying to figure out what do they need, who's the competition, how can we do it better than the competition and what other capabilities do these guys need so we can become really linked up and synced up with those customers where they're doing any time these customers access the financial markets, we want it to be through us. And we've really built our business model and sort of come together in a strange way through acquisition and INTL and FCStone merger. But the common thread is we're focusing on the same customers. We are trying to build a long-term business where we're not just trying to make a large amount of money onetime for customer, but create a long-term revenue and annuity out of our customers and we build our business from the customer out. And that makes our business look very different to any other business. If you try to build your business from the investors out, they probably want you to do one thing, make it scalable, make it easy to understand, make it comparable to something everyone knows already. That's not what we've done. And we just completely focused the other way around. We start with customers and trying to figure out what they need. 
William Dunaway: And if you look at other financial firms, they tend to be sort of 2 other ends of the spectrum. One is what I would call kind of the big bank or investment banking model where their business is driven by risk appetite and credit extension. And it's not so much providing a quality service, but they win the customers over by their ability to take on risks or their ability to extend credit to customers. That's not our business model. The other end is the kind of mechanical efficiency model, which is more driven toward the retail end of the market where it's just a machine and it's marketing and efficiency driven. We've kind of tried to stake out a very different ground, which is oriented toward providing service to mid-market customers who will pay us reasonably well for providing them with that service. And it's customer driven and there's not a whole lot of other firms who are focused on that segment of the market. 
Sean O'Connor: All right, do we have any other questions, operator? Otherwise, I think we can just sign off. 
Operator: Mr. O'Connor, there are no further questions at this time. I will turn the call back to you, sir. 
Sean O'Connor: Okay. Well, once again, thanks, everyone, for listening in. And we will hopefully be talking again in 3 months' time at our next call. So thank you. Bye. 
Operator: And ladies and gentlemen, that does conclude today's conference. We thank you for your participation.